Operator: Good morning ladies and gentlemen and welcome to the Boralex First Quarter 2021 Results Conference Call. At this time all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Wednesday, May 5, 2021.  I'd like to turn the conference over to Stephane Milot. Please go ahead.
Stephane Milot : Thank you, operator and good morning, everyone. Welcome to the Boralex first quarter results conference call. Very sorry for the delay we had a connection problem with the phone line in fact, so I hope my colleagues will be able to join me soon. So, joining me on the line soon will be Patrick Decostre, our President and Chief Executive Officer; Bruno Guilmette, Vice President and Chief Financial Officer and members of our management and finance team.  So Mr. Decostre will begin with comments about the highlights of the quarter. Afterwards, Mr. Guilmette will carry on with financial highlights and then we'll be able to -- are available to answer all your questions. As you know during this call, we will discuss historical as well as forward-looking information when talking about the future there are a variety of risk factors that have been listed on our different filings with security regulators which can materially change our estimated results. So these documents are all available for consultation at sedar.com. In our webcast presentation document, the disclosed results are presented both under IFRS and on a combined basis. Unless otherwise stated all comments made in this presentation will refer to combined basis figures. So, the press release, the MD&A, the consolidated financial statements and a copy of today's presentation are posted on the Boralex website at boralex.com under the investors section. So, if you wish to receive a copy of these documents, please contact me.  So Mr. Mr. Decostre will start with his comments. And Mr. Decostre are you there? Patrick?
Patrick Decostre: Yes, just in time as Stephane. Hello.
Stephane Milot: Okay. So, you can go ahead and then Mr. Guilmette will follow up with the financial section. Thank you.
Patrick Decostre: Thank you. Good morning, everyone. I'm pleased to present you our first quarter results today. It was another good quarter with results and contribution of recent acquisitions in line with our expectations. EBITDA for the quarter was slightly lower than first quarter last year, but this was due to the exceptionally strong wind conditions we had at the beginning of 2020 in France.  We have made significant progress on the development front in the quarter with the addition of 180 megawatts of project to our pipeline and favorable announcement for the Apuiat and Moulins du Lohan project. Some smaller projects also progressed in the pipeline from preliminary to mid-stage and to advanced stage.  We commissioned our 12 megawatt Bazougeais wind farm in France, and we sold our 12 megawatt thermal power station in Blendecques in France. We are now officially, a pure play in renewable energy with 100% of our production being renewable. On Slide 5 and 6 of the presentation. As you can see the changes in our pipeline and growth pass since the release of our fourth quarter result last February.  I'm very proud of all the good work accomplished by our development and support teams continuing to add projects to the pipeline, and ensuring these projects are continuously progressing across the different phases, leading to their conditioning. Moving to the presentation of our growth pass. As you can see on Slide 7, with the addition of project under construction, ready to build and secured, it represents a potential of 3058 megawatts of installed capacity, 258 megawatts over our 2023 objective.  Please note, however, that some projects like Apuiat will be commissioned in 2024. I won't go over all our achievement with regards to our four strategic directions as presented on Slide 8, but I would like to highlight the optimization of a wind farm totaling 136 megawatt in Canada, optimization of maintenance, as well as the signature of a new five year corporate PPA with IBM France.  As mentioned before, with the ending of contract signed 15 years ago in France, additional corporate PPAs and repowering projects are expected in the future. These represent valuable projects, providing interesting returns for a fraction of the time required to execute compared to over traditional Greenfield projects. I would like now to take some time to talk about the progress made with regards to our CSR ESG initiatives.  As you probably have seen, we published our first standalone CSR report at the end of February, which is available on our website. We have made good progress in a short period of time. And this is just the beginning. As I am pleased to announce that the recent hiring of a new director of CSR Mihaela Stefanov.  Mihaela has a very strong background in the area, having worked more than 12 years in sustainable development, most recently, as a Senior Advisor for a large consulting firm. She will report directly to me and will concentrate our efforts on continuing to make fast progress in our CSR ESG practice and reporting.  As mentioned, on our last call, in 2021, we are working on each of the 10 priorities on which we plan to improve and set specific goals in coming years. But we will put further emphasis on three of these priorities which are diversity and equal opportunities, greenhouse gas emissions, and health and safety. We will provide more information with regards to CSR on our upcoming Investor Day, which will be held on June 17. As mentioned before, CSR and ESG criteria are an integral part of our strategic plan. So stay tuned, and we will have interesting things to share. This completes my part. I will know let Bruno cover the financial portion in more detail. And we'll be back later for the question period.
Bruno Guilmette : Thank you, Patrick. Good morning, everyone. I will start with a review of the good progress made in light of our 2023 financial objectives. At $142 million our AFFO for the last 12 months is in line with our $140 million to $150 million objective. Our dividend distribution ratio stands at 47% in line with our 40% to 60% target and our net install capacity at 2455 megawatts, which is getting closer to our 2023 objective as mentioned earlier by Patrick.  Now moving to the analysis of our first quarter, as shown on Slide 13 in our presentation document. Comparable production of our Canadian wind operations was 2% lower than anticipated production but 1% higher than the same quarter last year. Wind conditions were weak at the beginning of the year, but picked up significantly at the end of the quarter.  Production from the acquisition of the CDPQ share in three wind farms in Quebec was 8% higher than anticipated. In France, comparable wind production was 2% lower than anticipated, and 26% lower than the same quarter last year, reached at exceptionally strong conditions. Overall, total wind production for the quarter combining Canada and France was only 1% lower than the anticipated production and 4% lower than last year.  Turning to Hyrdo now. Canadian Hydro continued to perform very well with production 25% higher than both anticipated production and last year's production for the same quarter. Conditions were however more difficult in the U.S. where production was 22% lower than anticipated, and 35% lower than the first quarter last year. Overall, the Hydro segment reported production 3% lower than anticipated and 14% lower than last year for the same quarter.  In the solar segment production from the acquired participation in seven solar power stations CRE in the U.S. was 8% higher than anticipated. In summary, total production for the quarter was 1% lower than anticipated and was in line with the comparable quarter last year, including the contribution of our two acquisitions and the commissioning of wind farms.  First quarter revenues were down 2% compared to last year due to less favorable resource conditions than a year ago as mentioned before. For the first quarter of 2021, EBITDA adjusted was $162 million compared to $169 million for the same quarter of 2020. Net earnings were $43 million in the first quarter compared to $37 million last year.  We generated $115 million of IFRS cash flow from operations in the first quarter, compared to $124 million in the same quarter last year, reflecting acquisition related costs and incremental interest but in connection with the acquisition financing. AFFO was $60 million compared to $68 million in the first quarter last year, reflecting the reduction in the cash flow from operations.  As indicated on Slide 17, our financial position remains solid with our net debt to total market cap ratio of 45% on March 31, 2021 compared to 41% on December 31, 2020. In conclusion, we are making constant progress in the execution of our strategic plan. We are working on our submissions for upcoming biz, with our Greenfield projects located in upstate New York, we have a solid financial position to pursue our growth initiatives.  And we are putting the final touch to the update of our strategic plan, which will be unveiled on June 17th during an Investor Day, please save that date. Thank you for your attention. We are now ready to take your questions.
Operator: Thank you, ladies and gentlemen. We now will begin to question and answer session. [Operator Instructions]. Your first question comes from David Quezada with Raymond James. David, please go ahead.
David Quezada: Thanks, morning, everyone. My first question here, just maybe a little bit on the on the longer term outlook. I know that you have obviously a lot of runway for growth in France, maybe not so much in the near term. But there's a lot of volume expected there as well as in Quebec, in New York. I'm wondering if you could just maybe touch on or if you have any color on what you're doing to kind of fill the top of your funnel of potential projects, be it land lease activity or things like that. Anything that could be a source of Greenfield development a few years down the road? 
Patrick Decostre: Yes. Good morning, David. Just, if you look to our pipeline and the dimension funnel, we have increased during this quarter with 180 megawatt this part of the pipeline. This is the entrance in the pipeline. And some of the project has gone from preliminary to mid-stage or advanced stage directly. So, this is where we make progress. And we are very active.  It's something at the very beginning of the crisis, if you look back to Q3 or Q2 last year, it was more difficult but no, since Q4, and this this quarter, it's really starting going well. And I think it's the right way to develop project. 
David Quezada: Okay, great. 
Patrick Decostre: And we are doing that in France and in North America both.
David Quezada: Excellent. Thanks, Patrick. And then maybe just one more. I know that you had the corporate PPA with IBM and France is certainly an interesting arrangement. Was wondering if you could talk about, are you starting to see some real momentum in corporate demand for renewable power in France? It seems as though you've had several corporate PPAs recently. Could you just talk about the outlook that you see there, I guess maybe for repowering and re-contracting over the next little while? 
Patrick Decostre: Yeah, it's exactly as you mentioned, there is a new real trend of big, large corporation to sign with company like us. So, it’s should we have more electricity available not under contract? We could we could sell it today. So, it's really an avenue and there is more demand and then what is supplied by the system.  And we are also for each project looking to the possibility of repowering. And, because with repowering, we are producing generally more electricity, more turnover, and on the long term and catching long term contracts. So, it's interesting to, and you have some details in the investor relation presentation if you want on this each year and our strategy.
David Quezada: Thanks very much for that, Patrick, I'll get back in the queue. 
Patrick Decostre: Thank you.
Operator: Thank you. Your next question comes from Rupert Merer with National Bank. Rupert, please go ahead.
Rupert Merer: Thank you. Good morning, everyone.
Patrick Decostre: Good morning.
Rupert Merer: So, I realize you're going to update your strategic plan on June the 17th. But I'm looking for a little bit of a preview here anything you can tell us on what that plan might look like? How far out do you think you'll be looking? And imagine you'll be setting a higher target for production in the future, but will you contemplate going into new regions and maybe new types of resources? Anything you can tell us on what we should be looking for from Boralex in the future?
Patrick Decostre: Okay one point, we have a process of approving the plan, we have just as you know a board yesterday. So, we are making good progress and discussing that. We have some work to continue. So already I will not give any point today. And I will ask you to be patient Rupert and wait for June 17. But we will take into account the situation of the company which is very healthy. And indeed, the different opportunities and the different market and continue in the same philosophy done before.
Rupert Merer: Okay, well, I have to try. Your acquisitions in California, can we imagine that maybe you'll expand the areas of focus a little bit in the future?
Patrick Decostre: Yeah. Two years ago, we start in the U.S. by the State of New York, we have been very successful. I hope we will continue to be; I think we will continue to be successful there. We have an established team and we have an established pipeline of projects at different stages of the organic pipeline. And know it’s, it will be time to look at other states in the U.S. And typically, as I mentioned in February, California would be one of this. And this is not new, but we will come with some more structured presentation on June 17.
Rupert Merer: Okay great. And then as a follow up to David's question on the corporate PPAs in France. I'm wondering if you can give us a little more color on the IBM PPA. If you can talk maybe about the scale of that transaction and I noticed you're working with Expo as an off taker. Can you talk about how the contract is structured with the aggregator? And is this going to be the model that you'll use in the future?
Patrick Decostre: Yeah, unfortunately, we have some confidentiality agreement with our client. And so, I really refer you to the press release of the April 30. This is the maximum I'm allowed to share with you. It's an important to five-year contract. It will be only asset ending their contract with EBS, no new assets. And but I cannot go further than this Rupert, I'm sorry not to answer your question this morning, really.
Rupert Merer: Well, maybe if you can talk a little about the dynamic how you work with an aggregator? And in general, how much value can you add to a? 
Patrick Decostre: Globally, generally… Yeah. Generally, the role of the aggregator is to make the equilibrium on every 15-minute period of the electricity which entered in the system and the electricity which is taken out of the system. So, this is the role of an aggregator. We have not that internally yet. And so sometimes we're working with experts, sometimes we're working with, we can work with other aggregator we have done that in the past also.  But we need to have this this partnership. But we're sending the electricity from one site or different sites in this case. And then the aggregator play the role of what is the demand of the customer, and what is the production of bottlenecks and the different sides of bottlenecks and make the equilibrium of this.  And now our added value is to have access to wind electricity which is I don't know the fit the exact figure but 99% of the wind production in France is contracted with EDF, so there is no electricity available to be sold. And just the companies like us, which contract starting more than 15 years ago have access to this kind of green electricity in France today.
Rupert Merer: As you move forward, and you start looking at storage projects is this a capability you'll be able to provide in-house increasingly in the future?
Patrick Decostre: We are exploring this and exploring if it is the right alternative to do it internally, and not to subcontract it. And because sometimes storage can be a solution. Sometimes the market is an interesting storage, too. And then there's different alternative and they're under analysis for the moment.
Rupert Merer: I'll leave it there and get back in the queue. Thank you. 
Patrick Decostre: Thank you. Thank you, Roberta.
Operator: Thank you. We have the following question from Nelson Ng with RBC Capital. Nelson, please go ahead.
Nelson Ng: Great. Thanks. And good morning, everyone. My question -- my first question relates to the growth path, you obviously have a lot of secured projects listed. And I think the New York solar projects are supposed to go into, or they supposed to be completed in 2022, 2023. Can you just tell us how the progress is with those New York solar assets in terms of permitting and other requirements? Like are they on track to be completed in ’22 and ’23? Just wondering when you would move those projects over to the construction ready stage?
Patrick Decostre: Yeah, they're in secure stage. They're not yet in under construction stage. But there's two important points. The first is we have accepted NYSERDA proposal for the conversion into Iraq. So that's good because and that the proposal we get was in line with what we were expecting end of last year, beginning of the year when the question of Iraq was discussed.  It's good for the economy, it's good for the financing of the project. And under the development side, it's going well, even on one of the projects, we have one of the 20-megawatt project we have very good news in terms of cost of connection. So, the final investment decision is not yet taken. This is why it's not yet in under construction, but it's online say to be connected next year and the year after.
Nelson Ng: Okay, that's great news. And then my next question is just a quick follow up on the corporate PPAs in France. So, I think you have -- you don't have too many wind facilities or megawatts expiring in terms of PPA expirations this year or next year, but can you just talk about like whether you're currently selling or how many megawatts you're currently selling in France as merchant?  And do you actually have much more room to do corporate PPAs given that there's not too many PC expirations? Can you just give some color on that versus, I guess reserving some capacity for future repowering as well?
Patrick Decostre: Okay, exactly. We are selling purely merchant 8 megawatt which is just one small site and this is essentially to the ID is to learn and to work on -- learn on how the market is working. We have done some shadow testing in the past, some first, some back testing and then some shadow testing, then we are in real life this year, but just with 8 megawatt.  And so, this is for purely merchant we have three contracts which are signed today, one with IBM, but as I mentioned earlier, I cannot disclose figures for this contract. We have one with the Orange for 39 and one with [indiscernible] of 16 megawatt. But this is not merchant, this is corporate PPA and we have another one which is under advanced negotiation for roughly another 10-megawatt site. So, this is exactly what we have. So, I do not expect to have more than 8 megawatts purely merchant during this year or next year.
Stephane Milot: Okay, just Nelson on that Stephane speaking, so if you want to have further visibility on that, I encourage you to look at our IR presentation where we go five years out. So, you'll see more on that. And as we're saying in this slide, at this point in time, it's about 60% that we expect to repower and the balance going to be a mix of corporate PPA and merchant going forward. And more info will also be provided on our Investor Day on this front all the customer orientation. 
Nelson Ng: Thanks Stephane, thanks for the color. My last question might also be addressed at the Investor Day next month. But I just want to ask you Patrick, in terms of growth through M&A versus development, and we've recently seen some assets switch hands in the market, particularly with Brookfield renewable with some strategic buyers.  I guess you acquired some solar assets in the U.S. to give you a footprint there and some meaningful solar assets. Given all the activity that's happening in the U.S., do you feel that you need to acquire any wind assets in the U.S. to kind of get you started there? Can you just talk about any kind of potential assets or geographies you feel any asset acquisitions could help you with?
Patrick Decostre: Yeah, any acquisition have to be a way to accelerate somewhere our strategic plan. So, we are firstly looking to solder assets in the U.S. But as you know, we are wind guys I would say and we like this so, potentially we are also looking to some wind assets when it's a way to accelerate our diversification. And this is something we are looking, yes.
Nelson Ng: Okay, that's great. I'll get back in the queue. Thank you.
Patrick Decostre: Thank you. 
Operator: Thank you. Your next question comes from Mark Jarvi with CIBC. Mark, please go ahead.
Mark Jarvi: Thanks. Good morning, everyone. Patrick, you said that the index record direct to meet your expectations, are you able to share any of the pricing on those contracts? And whether or not they have inflation escalators or anything else you can share now that you've signed those contracts?
Patrick Decostre: No, I'm not able to share the price. There is a nickel. I'm not able to share the price, but what I can tell you is that taking everything into account, the cost of construction view from today, the production of the site, the optimization of the layout, the connection costs, and all those things and in the financing, we have improved the return expected in September 2019 when we bid this project. So it's good for two reason. One reason is that, less risk because of Iraq contracts and on the other side an improvement of the return.
Mark Jarvi: And then Iraq making it a simpler product, enhance the financing of the project? Does it make it easier to finance or are they just more in product optimization in terms of cost, error connection and expected capacity? 
Patrick Decostre: Bruno, maybe some color on that?
Bruno Guilmette : Yes, Mark, it will certainly make the financing easier with a more simple contract approach. 
Mark Jarvi: And then can you just update us in terms of the financing tax equity. Is the idea to do it on a sort of a collection of assets? Do you do this on a one or two assets as they get closer to completion? What's the sort of strategy on tax equity and how far down the road are you in terms of any negotiations and your confidence level that you'll be able to pull that all together in time? 
Bruno Guilmette : Confidence level is good. And we don't need to be to be advanced at this stage. So, we're on time on that front. And in terms of the approach we’ll likely consider different approaches for our U.S. assets. Depending on our strategy, we're looking at different types of financing, whether project financing and or combination with the balance sheet financing.  So, in the U.S. our strategy might be a little bit different overall on the financing side then what we've done, for example, in France. 
Mark Jarvi: Okay, and then on those corporate PPAs, I appreciate at this point are so small component of your earnings. Are there any sort of nuances or risk to those contracts, in terms of settlements, minimum volume, anything around like where your delivery points versus pricing the aggregator or just maybe help us understand if there is any sort of risk that you have to manage from your perspective on [Indiscernible]?
Bruno Guilmette : No, generally speaking, all these contracts are pay as produced, so we have no commitment of production. So, it's really the same kind of risk then with EDF contract. We have in one contract, one of these contracts the warranty of the operation of the site, because you understand that the customer is buying the electricity from one side, and there is a marketing ID behind this.  So, they don't want to be that if we do not operate correctly the sites, typically we are lower than I think it's 90% of availability, which it's never the case, obviously, then they have the possibility to cancel the contract. But obviously, we're not there so, this is the only one but we have no delivery guarantee or thing like this. And so, no additional risk on this contract.
Mark Jarvi: Okay, thanks for the answers, Patrick and Bruno. Appreciate it. 
Patrick Decostre: Thank you.
Operator: Thank you. Your next question comes from Naji Baydoun with IA Capital Markets. Naji, please go ahead.
Naji Baydoun: Good morning. 
Patrick Decostre: Good morning. 
Naji Baydoun: Just if we can follow up on the asset sale in France. Can you maybe talk about if you're considering other asset sales to help finance some of your some of the larger growth projects that are coming down the pipeline?
Bruno Guilmette : The sale of Blendecques was essentially a reason of maintaining skills internally for small asset being 100% renewable not exposed to carbon pricing anymore and all those things. So, this is one reason. But generally speaking, and it's not only the case in France. We're also all the time evaluating it, partnering with another financial provider could be of interest to us if they have a lower cost of capital than Boralex.  So, we are all the time looking to this and this is the case and the valuation. If you look to the French market, different operator Have a look to this and go through this process during the last years. So, we are also screening this into possibility but nothing other than that.
Naji Baydoun: Okay. And I don't want to take away any of your thunder from the upcoming Investor Day, but I'm just wondering if you can talk briefly about how you're thinking about your approach to project development in your markets or like in California or rather U.S. jurisdictions, do you think that you'll need to adjust your sort of product development processes or billing behaviors in those markets to be competitive?
Patrick Decostre: Yeah, on the one side, we have developed project in New York State with people, some in New York, some in Ontario, some in Quebec. So, we can do and when you look to other pure organic developer, they are many times doing that remotely from somewhere in the U.S. So, we don't think we need teams everywhere. So, we need some local presence. But not big one, and we will try to stay with the crisis, we all know that a lot of work could be done from home, so remotely, this is the first point.  And in terms of bidding, we will look to market where like in New York State there is an interesting situation of demand for project and they are contract which are with reasonable risk. So, our bidding strategy will not change, and we will be disciplined on what we -- how we build the model for the project and how we evaluate the risk on that.
Naji Baydoun: Okay, that's great. And just one last question as a follow up to that. I guess you're not really expecting a major ramp up in either new hiring or development costs or corporate costs at this point to support sort of new expansions?
Patrick Decostre: We will I think, again, that will be that will be released on the Investor Day in June and presented, so I will ask you to be patient Naji on this part of the presentation.
Naji Baydoun: Okay, great. Looking forward to, thank you. 
Patrick Decostre: Thank you.
Operator: Thank you. Your next question comes from Andrew Kuske with Credit Suisse. Andrew, please, go ahead.
Andrew Kuske: Thank you. Good morning. I guess this may be a bit more of a philosophical longer-term question. And it really revolves around how you see batteries being part of the investment opportunity, and then maybe also part of the threat that exists for the business and just your positioning around that?
Patrick Decostre: It's a good question. It's interesting, indeed, I think and we can see that in Europe, in some market, we can see that already in California typically is great connection, and duck curve, the fact that the electricity prices is changing, the shape of the price is changing during the day, is an opportunity for storage.  The question is how do you make money and how you've secured your investment? So it's not -- it's something which is more close to kind of merchants sale from my view then what we have in the past was as produced long term PPA. But it could be -- this long introduction to say it could be of interest to optimize existing sites with small investment to move production from one part of the day to another.  And it depends on the market and the contract that you have. So, this is the first point. In terms of threat, I'm not sure, it's more creating something I think an opportunity to the electricity system than a threat because it will -- should smooth the electricity price during the day. So, I think it will increase the capacity technically of the electricity system of a larger penetration of variable renewable like wind and solar. So, I think it's more opportunity than a threat.
Andrew Kuske: That's very helpful color and context and maybe just focus on that opportunity, do you foresee Boralex pursuing some opportunities in relation to energy management's maybe at a commercial industrial level for certain corporate customers with the rollout and deployment of batteries into the future?
Patrick Decostre: Yeah, it's exactly something we have started in France at a small level. The same team is working on defining and modeling the price, which was obviously Bruno's team, but bundling the price for the bid for the tender, for the EDF tender, for the tender when cooperate PPA is available. So, somebody wants to buy electricity like IBM, like Orange, they are going to ISP and we have to mobilize that and the management of our small 8 megawatt merchant production.  So, all this is the same kind of data analysis, knowing how the market is moving, and all this is linked to so we have started this team in France and we're sharing this every year. Every month, we have an update on that at the Investment and Development Committee of the company so, even in North America, people are learning thanks to our experience in France, is small, but it's the way to learn and not to take too much risk.
Andrew Kuske: Very helpful. Thank you.
Operator: Thank you. We have a following question from Rupert Merer with National Bank. Rupert, your line is now open.
Rupert Merer: Thank you. So, in your prepared remarks, you talked about preparing bids for New York auctions. Just wondering if you can give us an update on where we're at in the process for the New York auctions and what do you anticipate you might be able to do there and also same thing for France, where are we in the French RFP cycle? 
Patrick Decostre: Okay. On the New York, I will just comment on the T1, there will be a T1 auction in end of the summer. So, we will bid the 180 megawatt we bid at the last auction. And we have worked for say another year of development. So, you can evaluate I think how much organic project we are able to develop in one year, like in the past. So, we will bid this at this stage.  And we are also evaluating the T4, but this is too close to the bid to comment. So, this is for New York State. On the French side, the first – okay, I mentioned 180, it was 140 sorry, at the last bit so it’s not 180, sorry, I made a mistake. On the French side, the six first rounds of the tender have not been done. And so, the government is the administration is discussing what they call the carrier discharge, which is the rules to bid and the rules to win.  So, it's just, it has not yet been released. So, we are thinking that for 2021 when the tender will come end of the summer, beginning of the fall, and we're working to evaluate how many projects we will be able to bid. It will depend on the carrier discharge. So that's the point and we are also -- in France we have still access for the small say project, the project of less than, less or equal to 6 turbine and less or equal to 3 megawatt per turbine to the CR 2017 at €72 per megawatt hour. So, we are playing the two games in parallel.
Rupert Merer: Okay, great. Thanks. And then looking at your secured projects. Can you give us an update on the two big ones, the Limekiln and Moulins du Lohan and the opportunity to move those to construction? How far are you from final investment decision on those projects?
Patrick Decostre: I would say Moulins du Lohan, it's more a question of weeks. Because the decision from the cross-site data is final. Grid connection was put on the shelf but it's still available and it has been already modified to 71 megawatts. And as you know, we have a contract that we win on the last tender. So, it's a question to say finalize update everything and go back to our board and decide some negotiation with the turbine suppliers also need to be done.  And for Limekiln, the considering the change in the charges, the access to the network charges, the use of system charges in the UK, we have apply exactly one year ago in May 2020 for the extension of the site. And we have applied also for a modification of the size of the turbine like every, to my knowledge, every Scottish project of different operators has done this because they have been hit by the change of the charges.  So, there will be I think a public hearing in June on Limekiln and then we could expect depend of how diligent the Scottish Minister will be, we could expect in the next say, six to nine months decision. And again, there we already have the connection in our end, which is very important when you're up north there.  So, this is the situation of Limekiln. And there was some discussion last year about a potential new CFD for onshore wind in the UK to my knowledge is not yet done. But potentially this will also move in the next month to help us to finalize the economics of this project and the financing of it.
Rupert Merer: Great, thanks for color. I'll leave it there. 
Patrick Decostre: Thank you.
Operator: Thank you. [Operator Instructions]. It appears there are no further questions at this time, you may proceed.
Stephane Milot : Alright, so thank you everyone for your attention. If you have any additional questions, please call me at 514-213-1045. I will make sure we quickly answer your question. So, our next conference call to announce second quarter results will be on Friday, August 6, 2021. In the meantime, as we mentioned during this call, please mark your calendar for our Investor Day on June 17, as a formal invitation will follow shortly. And lastly, we have our Annual General Meeting in an hour or so at 11 starting, so I hope you all remain healthy. Have a great day. Thank you.
Operator: Ladies and gentlemen this concludes your conference call for today. We thank you for today and ask that you please disconnect your lines.